Operator: Greetings, and welcome to the Quantum BioPharma Business Update Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference call is being recorded. Before we begin the formal presentation, I would like to remind everyone that statements made on the call, and the webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of that of this presentation. Sorry, only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise, or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent form 10-K for a more complete discussion of these factors and other risks, particularly under the heading Risk Factors. Your host today are Founder, CEO, President and Executive Co-Chair, Mr. Zeeshan Saeed; and Head of Finance and M&A, Mr. Jason Sawyer. I will now turn the call over to Quantum BioPharma's Founder, CEO, President and Executive Co-Chair, Zeeshan Saeed.
Zeeshan Saeed: Thank you, operator. Good afternoon everybody, and thank you for joining us today. I would especially like to thank the shareholders, who've been with us all the way in this journey and their undying support. The company is generally doing pretty good, I would say. The assets are progressing the way we want them to and Jason is going to update you in a minute. We have enough cash to last us for - through 2027, first quarter at least, and then the case against the brokers and the banks is progressing well as well. I would - I guess I would take the time to update you on the case. For those of you who don't know, we filed a case against the banks and brokers, for alleged spoofing and manipulation of our stock price on 20 October of last year, 2024. The banks, as typical in any case, filed a motion to dismiss on 31st of January of this year, and then we on the 1st of May filed a response to that motion in the form of an amended complaint. Now we do expect a reply from the banks, by the end of this month and then, the motion to dismiss the decision - for the motion to dismiss should come by the end of this year, and that will be the next milestone. I guess, the rest I will now hand over the call to Quantum BioPharma Head of Finance and M&A, Jason Sawyer.
Jason Sawyer: Great. Thanks very much, Zeeshan. I appreciate it. Ladies and gentlemen, thanks for attending. It's a pleasure to speak with everybody today on the first shareholder update call that, I've done since joining the company in August of last year as Head of Finance and M&A. So very much a pleasure. To recap, this is designed to be an update call. We'll assume some significant familiarity with the company, but for a recap, an overview if you will. Quantum is an R&D focused BioPharma company, led by world-class science team, dedicated to developing innovative and novel therapies for neurodegenerative disease and also alcohol misuse. The science team is led by Dr. Lakshmi Kotra, Professor at University of Toronto, also active in University Health Network, one of the most prestigious institutions of its kind in the world, and Dr. Andrzej Chruscinski, our VP of Clinical and Scientific Affairs. Also notable, Dr. Eric Hoskins on our Board, the former Minister of Health for the Province of Ontario. I'd like to focus first on LUCID MS, our patented novel new chemical entity that is focused on demyelinating neurodegenerative disease. As most of you probably noted, and there's been significant updates since really the beginning of this year. The LUCID MS project has been progressing and moved through Phase 1 clinical trials, recently concluded and determining that, it was well tolerated in healthy participants and is now focused on toxicity studies, which are being conducted right now over the course of the next nine months, where reports at various intervals will be completed on tox studies. The intention here, is of course to move to Phase 2 clinical trials in MS patients. Most notably, I think you realize from last month, last month's press release, our collaboration with Massachusetts General Hospital and Harvard scientists, looking to use a novel PET tracer, to utilize a much more specific and intense imaging technique, so that we're able to identify biomarkers that can be used in our Phase 2 study. The timeline for submitting our Phase 2, and our investigational new drug submission, is the latter part of this year and we're hopeful that in the early part of 2026, we'll be entering into a Phase 2. The other meaningful things that are happening with LUCID MS ultimately are on gathering further data and results, to complete the experiments and prepare for this IND submission. An investigational new drug, is a significant milestone for the company, and we're looking forward to being able to report further toward the midpoint of Q3 this year. Our other platform, as you know for alcohol misuse, developed in-house at Quantum by our science team, for rapid alcohol detoxification, has been licensed to Celly Nutrition and Celly Nu has indicated to us that in line with the clever name of the product unbuzzd, they are soon going to be renaming the company along the lines of that branding to keep everything uniform in the entrance to the market. We could move on to the unbuzzd slide please. The intention of Celly now with distribution and marketing, having recently partnered with FUSION in Puerto Rico, is to enter that market. This is a market that was served by FUSION as well with Celsius holdings company advisor Gerry David and his success in working with FUSION led to this relationship, as well as a relationship recently announced with AATAC, which is an association of approximately 80,000 convenience stores, and vendors across the United States. Obviously social media and influencer marketing is a part of this strategy and unbuzzd is capitalizing the company right now, to move into a launch - diversified launch across the Board multichannel, omni-channel approach. You can look out for updates on the FUSION relationship, and the distribution of the product, as it starts with various channels including billboards, discussions right now with brand name, major retail in Puerto Rico, and notable and announced in the early part of February of course was the first ever clinical trial for a product like this, randomized double-blinded placebo controlled crossover study that determined that in the majority of participants in this study, alcohol was metabolized as expressed by blood alcohol content 40% faster versus the placebo with unbuzzd. So super exciting to have that clinical data, and to be able to enter the marketplace with data that allows people to know that if they've consumed more than they want, they want to get back to full cognition, sobriety, et cetera, and for that matter as a prehab, or as a hangover type of product as well, which is certainly a market that's growing very quickly. We enter in a niche area that allows you to rapidly bring down your blood alcohol, but also to feel better and drink in a healthier way, feel better the next day, less hungover the next day. The next slide please. Quantum has maintained 100% of the rights to this formulation, and has determined that the medical market that's emergency rooms, first responders, other medical environments does not have a product that, is able to take a patient, or a person that requires rapid alcohol detoxification, down to a lower level of alcohol in their bloodstream faster, whether it's to clear an emergency room bed, which we all know throughout North America. Certainly where our study has been focused is a problem. And in all of the discussions that we've been having, through the hospital networks and distributor environments, we are realizing that if there is a way to allow patients to recover faster from alcohol misuse, get their blood alcohol content down, and perhaps move through the system, that there's certainly a market for this company. In Q1, has started to explore in detail and has had a study published for us on all of these problems that exist, and what the use case is for a product that we call recovery. In the recovery instance, we maintain 100% ownership of the formulation, are exploring other ways to administer it and of course with unbuzzd, Quantum has out licensed on a royalty basis maintaining just a little under 26% ownership in the company, has out licensed that product for the consumer market. One of the other things most notable and important to discuss is the, I'll start with the I think the most poignant of the things we could say about the company's current cash position, and ability to execute on its operational plan, and that is that I'm sure that most shareholders have noticed the removal of the material uncertainty, related to going concern in our most recent audit and filing of last year's financials. We consider this a major step as we have increased cash on hand as Zeeshan alluded to, taking us well into 2027 in terms of our current operating plan, and all of the development of the various clinical trials that I had mentioned. So net cash available has 18 to 24 months forecast for future burn, sufficient working capital to sustain operations for that long without doing any kind of financing. We've also brought down accounts payable very, very significantly by several million dollars, as reported at the end of March. And we consider all of this quite significant to the company, and a major change year-over-year. I'd just like to summarize, and go back through the high level advancements, and what we have in terms of our science and our expected progress here through the next year. LUCID remains our focus and the progression through the various steps of the regulatory process, with LUCID and the key objective in moving into Phase 2, and opening that investigational new drug of course is to see the same result, which we're quite hopeful of in human beings that we've seen in the animal models in 14 years of preclinical studies, on this small molecule new chemical entity. And that will obviously put us into a very different realm, and we look forward to updating as well as the PET scan study that started and will last two years, is able to help us identify. Our intention there is to identify biomarkers that will abbreviate, potentially abbreviate the Phase 2 clinical trial, in being able to see how our new chemical entity, how our therapy is affecting patients with MS. On unbuzzd, we're happy to see the launch of the product in various markets now, and that the team at unbuzzd, including Gerry David, former CEO of Celsius Holdings, and Kevin Harrington, start to lean into the distribution and marketing plan for the company. The company has indicated, as you'll note from February, that it intends it is an independent company, and it intends to list and capitalize utilizing the public markets. They have retained a banker in order to do that. Reminder on the royalty that Quantum BioPharma has a 7% gross royalty, until we've achieved $250 million of payments to Quantum and maintains over a 25% equity stake, which once there is, assuming that Celly is unbuzzd, is able to meet their target of listing, would then be reflected on the Quantum balance sheet. Our intention is to take this formulation as it stands right now, and a successful clinical trial, the first of its kind, to the medical market in the form of recovery. The company's poised now for accomplishing all of this, with a healthy treasury and no reliance on capital markets, for further financing and looking forward to making further announcements, as each of these programs progresses. I think we can turn it over to questions now.
Operator: Thank you. [Operator Instructions] As there are no further questions at this time, we move to the webcast questions. I hand it over to [Mr. Larry]. Please go ahead.
Unidentified Company Representative: Our first webcast question asks, how soon will you be able to enter LUCID Phase 2 trials, and how long will that take to complete?
Jason Sawyer: Yes, so the Phase 2 trial is actually in planning now and as I mentioned, in addition to scoping that trial in the way that it would traditionally be done, we were very happy to be able to form the collaboration with Mass General and the Harvard scientists conducting this PET tracer. So the preparation of the trial scoping of it, has actually already started. Once the tox studies, are completed and the reports on those are out, we will be able to actually submit the IND, and move forward with the Phase 2. And the hope is that the conclusion of the PET tracer, where we've seen this already work, this, this is science certainly that's being developed, but we've seen evidence that its ability to look at the lesions, at the demyelinated areas in the brain on such a. I'm going to use the term magnified, not being a scientist on so much more of a detailed level beyond what MRI imaging is able to do, we're going to be able to plan a Phase 2 that may be as brief as 18 months. And that is kind of a range of 18 months to three years normally, we're looking to be able to utilize this and complete it. From a start date that we expect could be as early as Q1, 2026. And that is our targeted start date.
Unidentified Company Representative: Our next webcast question asks, have sales of unbuzzd started in Puerto Rico, and what is the company's sales, marketing and distribution strategy in that market?
Jason Sawyer: Yes, sales have in fact started there. All of the teach ins and the retailers there. The initial wholesale product has arrived in Puerto Rico. Again, there's a close relationship with FUSION, because of the executive management and advisory of unbuzzd, and the billboard and social media campaigns have started. There are a number of, a number of bars, but brand names that I won't mention at this point in time that, everyone would be familiar with that are already starting to. They've already educated their sales forces, and they're beginning to market the product there. So sales have in fact started. It's an excellent proving ground for so many reasons. FUSION, is a fantastically successful distributor of a lot of names that, everybody on the call here would know. And we're super excited about the novelty of this product, its unique ability to do something that, doesn't exist in the market at all. And so, we're looking forward to having some sales metrics present themselves here as the ensuing quarters unfold.
Unidentified Company Representative: We have a couple of questions regarding the rollout, and how wide a distribution for unbuzzd question, will you be watching in California? Will you be focusing on college towns and, is there an intention to roll out unbuzzd to Europe and Asia?
Jason Sawyer: Yes, the answer is obviously alcohol is consumed broadly, but it is important to, when rolling out a product, with this type of universal really appeal to focus on certain geographies, certain distribution relationships. We think that University towns and California will be a focus such a large market. But university towns across the U.S. the unbuzzd team has targeted areas that it's familiar with, and where our new. Or rather initial distributors where those relationships feel that they have the coverage, the types of venues for distribution, and the proximity to aside from the fact that the product can be bought at unbuzzd.com and on Amazon, of course that it'll be close at hand in areas like that that do have concentrations of universities, and where people tend to imbibe and enjoy themselves, and will certainly want to consume alcohol in a healthier way. In terms of the international markets, it's certainly in the plan any of the functional beverages that we've looked at, and emulate and the benefit that we have of watching the enormous success Celly of excuse me of Celsius holdings, for example and the influence that we have from all of that experience, and the launch of that functional beverage as unbuzzd has, with clinical results proving its efficacy and what it does, it will eventually be an international product. But the market and the market growth in the United States, and certainly Canada where we expect the product to be available probably sometime this year, are both big enough markets for a starting point, to give us all of the traction that we would need. That unbuzzd needs to move international.
Unidentified Company Representative: Our next and last webcast question asks, can you provide any additional updates on Celly Nutrition's intent for the IPO?
Jason Sawyer: Yes, absolutely. The company's decided this is the way to go and capitalize, a launch that can obviously be supported, by some people who've done these really high ramp up launches before. So this was a plan that they put together through the last part of 2024, and was announced I believe in February that they'd return retained a banker. Market conditions changed recently, and so a reexamination of that is ongoing. But the feeling is this is still the way to capitalize. The Banker has been retained. Discussions with the listing venues and securities council have been ongoing. Every aspect of what it takes to be public and preparing a prospectus, et cetera and testing the market. And part of that of course is the overall market's desire to take risk on an earlier stage venture with all of the promise that the company has, and with the uniqueness of the product, which is obviously a huge advantage to unbuzzd to enter as the only formulation with clinical tests that prove its efficacy. All of that is weighed and balanced at all times. But there is a very specific process that, is now ongoing and the cadence will probably be dictated only by the markets. And for everybody here familiar with earlier stage IPOs, there are minimum thresholds. So this is not a $1 million, or $2 million, or $3 million proposition $10 million or $15 million to drive this business forward with the unbuzzd team, is the target raise. So until we hear otherwise, that's a process that will proceed through all its various stages, and filings and then at the appropriate window in the market, I believe that they will execute.
Unidentified Company Representative: That concludes our webcast Q&A.
Operator: Thank you. I would like to turn the call back over to Mr. Saeed, for his closing remarks.
Zeeshan Saeed: Thank you, Zico. Well I guess, I would like to mention that, recently also Terry Lynch joined as a Director. He's an advocate against naked shorting. And Kevin Malone, I'm sure he's listening, has also joined, has been guiding us, has been a tremendous support. Thank you, Kevin. I would like to also specially thank those shareholders, who've come forward with their stories, and join our hand in this fight. And you can see the testimonial on the Quantum versus Banks page. Also you can download the complaints, and the amended complaint and other things on that page. So we also encourage, more and more shareholders to come forward and join us. Also, a special shout out. I can see [Justin Brewer] has joined. Justin has been an undying supporter, always being supportive of us. Thanks, Justin. And thank you everybody in general for all your support. I would do - at this moment look forward to continuing to update you on our ongoing progress and milestones. If we were unable to answer any of your questions, please reach out to our IR firm, MZ Group, who would be more than happy to assist. And I look forward to interacting more, I guess, on the next time we have a call like this. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.